Operator: Hello, everyone and welcome to the ISG 2022 Fourth Quarter and Full Year Results Call. My name is Charlie and I will be coordinating the call today. This call is being recorded and a replay will be available on ISG’s website within 24 hours. [Operator Instructions] I will now hand over to your host, Mr. Barry Holt for his opening introduction. Barry, please go ahead.
Barry Holt: Thank you, operator. Hello and good morning. My name is Barry Holt. I am a Senior Communications Executive at ISG. I’d like to welcome everyone to ISG’s fourth quarter conference call. I am joined today by Michael Connors, Chairman and Chief Executive Officer and Bert Alfonso, Executive Vice President and Chief Financial Officer. Before we begin, I would like to read a forward-looking statement. It is important to note that this communication may contain forward-looking statements, which represent the current expectations and beliefs of the management of ISG concerning future events and their potential effects. These statements are not guarantees of future results and are subject to certain risks and uncertainties that could cause actual results to differ materially from those anticipated. For a more detailed listing of the risks and other factors that could affect future results, please refer to the forward-looking statement contained on our Form 8-K that was furnished last night to the SEC and the Risk Factors Section in ISG’s Form 10-K covering full year results. You should also read ISG’s Annual Report on Form 10-K and any other relevant documents including any amendments or supplements to these documents filed with the SEC. You will be able to obtain free copies of any of the ISG’s SEC filings on either ISG’s website at www.isg-one.com or the SEC’s website at www.sec.gov. ISG undertakes no obligation to update or revise any forward-looking statements to reflect subsequent events or circumstances. During this call, we will discuss certain non-GAAP financial measures, which ISG believes improves the comparability of the company’s financial results between periods and provides for greater transparency of key measures used to evaluate the company’s performance. The non-GAAP measures, which we will touch on today, include adjusted EBITDA, adjusted net earnings and the presentation of selected financial data on a constant currency basis. Non-GAAP measures are provided as additional information and could not be considered in isolation or as a substitute for financial results prepared in accordance with GAAP. For the reconciliation of all non-GAAP measures presented to the most closely applicable GAAP measure, please refer to our current report on Form 8-K, which was filed last night with the SEC. And now, I would like to turn the call over to Michael Connors who will be followed by Bert Alfonso. Mike?
Michael Connors: Thank you, Barry and good morning everyone. Today, we will review our record results for the fourth quarter and full year, our continued recurring revenue growth, our new enhanced amended credit facility, and our outlook for the first quarter. ISG delivered our best quarterly and full year performance in our 17-year history. For the quarter, ISG delivered record revenues of $74 million, up 11% in constant currency, record net income of $4.3 million, up 20%, record earnings per share of $0.09, record adjusted earnings per share of $0.13, and record adjusted EBITDA of $11 million, up 9%. Our key metrics were equally impressive for the full year with record revenues of $286 million, up 8% in constant currency; record operating income of $29 million, up 17%; record net income of $20 million, up 27%; record adjusted net income of $27 million, up 18%; record earnings per share of $0.39; record adjusted earnings per share of $0.53; and record adjusted EBITDA of $43 million, up 11%. Our record fourth quarter and full year results were accomplished despite an uncertain macro environment and fewer working days in Q4, normally a seasonally lower quarter for ISG. But our diverse and valued suite of products and services from cost optimization to business transformation is making a difference in our performance. Looking at the fourth quarter, our top line growth was driven by double-digit operating growth in both the Americas and Europe as client demand for efficiency and optimization services escalates. We also saw strong growth for our subscription services in research and governance and in network and software advisory services during the quarter. Our recurring revenues in Q4 reached $30 million, up 26% over the prior year and represented 40% of our firm-wide revenues. For the year, we achieved $108 million in recurring revenue, surpassing the $100 million goal we set for ourselves back in 2020. Not surprisingly, FX continues to chip away at our reported results. For the quarter, the impact of revenue was 447 basis points or $3.2 million and $13 million for the full year. Overall, our more profitable mix of products and services, combined with the operating efficiencies we derived from our ISG NEXT operating model resulted in the highest full year EBITDA margin in our firm’s history at 15%. From a client perspective, we served 556 clients in Q4, up 6% and surpassed 900 clients for the year, a new high for our firm. Today, nearly every one of our clients is a digital business. Each is using digital technology to redefine how they operate, how they engage with customers, employees and business partners and how they create new revenue streams through connected products and services. Even in uncertain times, our clients remain committed to continuous digital transformation. Markets and technology are changing fast. There is really no time to hit pause. Every business needs to keep moving forward or be left behind. With intense market pressure to invest in cloud, analytics, customer experience, and AI, our clients are turning to ISG to help them optimize their costs, not only to get lean, but the free up resources to fund their digital ambitions. To meet this need, ISG introduced a wide ranging cost transformation service that builds upon our longstanding expertise in this area. Our offering very successful today focuses on the four key levers to optimize cost: the supplier ecosystem, technology investments, software asset management, and business operations. This approach delivers both short and long-term efficiencies and reduces the peaks and valleys of traditional linear spend models. As I mentioned, these continuous savings can be reinvested in our clients business, particularly for ongoing digital transformation. This is another example of how our 17-year history of being the largest sourcing advisor in the world is paying off. Revenues from our cost optimization services are growing by double-digits. Among our major engagements, we are helping a global healthcare solutions company reduce its $40 million of technology costs by 25% and an automotive supplier reduce its $140 million spend by 20%. There are many more such opportunities in progress and in our pipeline. Turning to our regions, the Americas delivered $44 million of revenue in the quarter, up 12% versus the prior year on the strength of our digital and cost optimization offerings. During the quarter, we saw double-digit growth in our media, health sciences, energy and utilities industries. And among our services network and software advisory, research and GovernX were also up double-digits. Key client engagements during the fourth quarter included McKesson, Stryker, Exelon, and Pfizer. As I mentioned, demand for GovernX, our SaaS based vendor compliance and risk management platform is soaring as clients seek to get the most value out of their supplier ecosystems. During the quarter, a global hospitality giant renewed its annual $1 million plus ISG GovernX subscription at a higher rate for 2023. This client is one of our longest standing GovernX clients, generating more than $25 million in recurring revenue over the last 10 years. We also extended our ISG GovernX contract with one of the top three global tech giants in the world for a further 4 years with a significant increase in annual contract value. ISG also won a new multimillion dollar ISG GovernX engagement with a major U.S. healthcare company to provide our unique vendor management office as a service capability. Additionally, ISG Research has signed a large deal worth more than $1.5 million with a leading services tech provider for a range of go-to-market projects and ISG solutions, including a multiyear ISG ProBenchmark contract. Now turning to Europe, our Q4 revenues of $24 million were up 12% in constant currency over last year. For the quarter, Europe delivered double-digit revenue growth in our media, public sector, consumer services and manufacturing industry verticals and in our GovernX and network and software advisory businesses. Key client engagements in Europe and the fourth quarter included Volkswagen, Deutsche Bonn, Allianz and Nestle. During the quarter, a leading transportation company in Germany, extended the digital labor and automation engagement and awarded ISG in late 2020 for an additional 2 years. ISG will continue as the client’s strategic automation advisor, delivering platform-as-a-service maintenance and licensing services. We also secured a major deal with a global chemicals and industrial solutions manufacturer in Germany to provide network advisory services. Additionally, ISG has been awarded a significant $1 million plus engagement with the Swiss Federal Office of Information Technology, Systems and Telecommunications. We are helping this client optimize their technology portfolio, restructure their underlying cost models, and redefine their organizational structure to ensure lasting improvement. Now turning to Asia-Pacific, our Q4 revenues of $7 million were up 5% in constant currency from last year, with double-digit growth in our network and software advisory business. Asia-Pacific has been a strong performer this year, with full year revenues up 16% in constant currency. In the latest quarter, we saw double-digit growth in our consumer and media industry verticals. Key clients in the quarter included the Australian Taxation Office, [indiscernible] and the insurance company, Bupa. Turning now to another very positive development for ISG, we recently announced that we were able to successfully amend our $140 million credit agreement at more favorable terms. This was made possible by our strong financial position and operating results. The new agreement converts the previous term and revolving loan into an all revolving credit facility. It eliminates $4.3 million of mandatory annual principal payments under the former agreement and extends the maturity date by 3 years to February 2028. This is clearly an excellent outcome, especially during a time of increasing interest rates and a volatile debt market. Now, let me turn to guidance. Continuous digital transformation remains a business imperative and ISG is ideally positioned to meet that need. In addition, we see continuing strong demand for our services as we help our clients optimize their technology and business environments, design their future operating state and leverage the technology and services that will help them realize their objectives. Looking ahead to 2023, our demand pipeline remained strong. Indeed, we hired additional employees in Q4 to meet future demand. We are also mindful of the economic factors that could impact the timing of client decision-making, including inflation, the possibility of recession, geopolitical concerns and talent shortages. In consideration of all of this for the first quarter, we are targeting revenues of between $73 million and $75 million including a negative FX impact of approximately 200 basis points in this range and adjusted EBITDA between $10 million and $11 million. So, with that, let me turn the call over to Bert, who will summarize our financial results. Bert?
Bert Alfonso: Well, thank you Mike, and good morning everyone. As Mike mentioned, ISG continues to have momentum in the market, leading to a record-breaking quarter and year. Revenues for the fourth quarter were suddenly $4.2 million, up 7% on a reported basis, and up 11% on a constant currency basis, compared with the fourth quarter last year. Currency negatively impacted reported revenues by $3.2 million versus the prior year. The Americas reported revenues for $43.6 million up 12% versus the prior year. And Europe revenues were $23.9 million up 1% on a reported basis, and up 12% in constant currency. And Asia Pacific revenues were $6.7 million down 4% reported and up 5% in constant currency. Fourth quarter adjusted EBITDA was $11.1 million up 9% from last year, resulting in an EBITDA margin of 15% of 33 basis points compared with the prior year's fourth quarter. In constant currency, adjusted EBITDA was up 17% for the full year. Fourth quarter operating income increased slightly to $7.2 million, compared with $7.1 million in the prior year. Net income for the quarter was $4.3 million or $0.09 per fully diluted share of 20% over net income of $3.6 million, or $0.07 per fully diluted share in the prior year. Fourth quarter adjusted net income was $6.5 million or $0.13 per fully diluted share – on a fully diluted basis, up 27% from adjusted net income of $5.1 million or $0.10 per fully diluted share in the prior year’s fourth quarter. Headcount as of December 31, was 1,599, up 61 professionals or 4% from Q3. As Mike mentioned earlier, we added resources to gear up for future growth. Consulting utilization for the fourth quarter was 67% impacted by our additional hiring, our full year utilization of 73%. Our balance sheet continues to have the strength and flexibility to support our business over the long-term. For the quarter, net cash provided by operations was $6.6 million and $11.1 million for the full year. We ended the quarter with $30.6 million of cash up from $19.7 million at the end of the third quarter. During the fourth quarter, ISG paid dividends totaling $2 million. Our next quarterly dividend will be payable on March 31 to shareholders of record on March 20. In addition, we paid $3.5 million related to the C4G acquisition, borrowing $9 million from our revolver to fund the acquisition and business operations. We also pay down $1.1 million of debt and with our debt balance of $79.2 million. Our debt-to-EBITDA ratio was 1.8x a record low for year-end. Our average borrowing rate for the quarter was 5.1%, up from 1.9% last year, and we ended the quarter with $48.3 million shares outstanding. Mike will now share some concluding remarks before we go to the Q&A. Back to you Mike.
Michael Connors: Thank you, Bert. To summarize our portfolio of cost optimization sourcing and digital transformation services is in the sweet spot for enterprises in today's environment. As a result, ISG delivered our best quarter and full year ever, with record-breaking revenues and profits in each period. Our Q4 recurring revenues were up double-digits, enabling up to exceed our $100 million full year target set back in 2020. Recurring revenues were 40% of our firm wide total in Q4. We navigated FX headwinds and other market uncertainties in the fourth quarter to deliver double-digit operating growth in Europe and the Americas, and Asia Pacific had an outstanding year. Our strong financial position and operating performance allowed us to successfully amend our $140 million credit agreement, giving us more flexibility to invest in the continued growth of our firm. And we see our momentum continuing with the potential of another record setting first quarter. As always, we are focused on creating shareholder value for the long-term and we are steadfast in our mission to deliver operational excellence to our clients. So thank you very much for calling in this morning. And now let me turn the session over to our operator for your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Vincent Colicchio of Barrington Research. Vincent, your line is open. Please go ahead.
Vincent Colicchio: Yes, thanks. Nice quarter, Mike.
Michael Connors: Good morning, Vince. Thank you.
Vincent Colicchio: Couple for me. Good morning. So sounds like the strength in the quarter was somewhat similar to last quarter, cost optimization GovernX research. I think network advisory was sort of a new area of strength. Does that latter area have legs? And are there any other areas I am not mentioning that we are new source of strength this quarter versus last. And do they have legs as well?
Michael Connors: Yes. So yes, good, good point. So cost optimization and on the digital transformation front continues, and definitely our network and software advisory business reminding you that the software advisory or all the software that enterprises purchase, whether that is a Salesforce or an Oracle or a service now etcetera. We help them navigate the number of licenses the value the pricing, etcetera. Clearly, that fits right into cost optimization. And then network, which is a large spin sometimes the third largest tech spend in a lot of a large enterprises around the network around 5G, around data and voice etcetera, is – does have legs, we had an outstanding fourth quarter in network and in software and we see both of those fitting right in to the current environment, both in Europe and in the U.S. So we see a lot of legs there, and our recurring revenue streams with our platform business like GX and our research, we see continued strength there as well. So you couple that together with I think, a pretty strong demand environment for the services and the suite of services that we currently have, it is kind of pushing us to where we are –where we are in the early part of ‘23.
Vincent Colicchio: And what were the major margin improvement drivers? Was it the mix? And if so, will that mix also benefit you in ‘23?
Michael Connors: Well, I would say the first thing is, our recurring revenues were $30 million. We have never been at that level. And then Vince, you followed us for a while you will go back maybe 4 or 5 years, we might not have had $30 million of recurring revenue, so having in the quarter number one that our recurring revenues are clearly higher margin. So as that continues to expand, it is, $100 million of our business now and that will continue to definitely grow. So I think that in the mix that we have with our, kind of digital transformation, which we can still sell at good premium levels. I think our margins should be continued to be healthy as we move forward.
Vincent Colicchio: Okay. And then, lastly, what are your thoughts on acquisitions currently and this pricing come in to make it a more attractive area to focus on capital this year?
Michael Connors: Yes. So we – as we did two last year with agreement and change for growth. We are on the hunt primarily around recurring right revenue streams, and around digital and we are in the market. And if we find something that is a win-win for us as well as the target, then we will execute on that during 2023. So we see the market, most of ours are sold sourced. And so it's a bit of a dance and it's both an economic, as well as kind of an emotional sale because all these teams tend to be owned or operated, the ones we are interested in. But we think the market is in pretty good shape out there. And we have our sight set.
Vincent Colicchio: Okay, thank you. I will go back into queue. Nice job.
Michael Connors: Thanks a lot, Vince.
Operator: Thank you. Our next question comes from Marc Riddick of Sidoti. Marc, your line is open. Please go ahead.
Marc Riddick: Hi, good morning.
Michael Connors: Hi, Marc. Good morning, Marc.
Marc Riddick: So I wanted to touch on a couple of things and thank you for all the detail and congratulations on the getting the agreement done, which is certainly encouraging and certainly in these times. I was wondering if you could talk a little bit about with those activities of clients looking for cost savings. Solutions and likewise, why don't you talk a little bit about sort of how you are seeing that shift play out? And whether or not there any particular industries that have been maybe more at the forefront of that process than others or sort of how you are sort of seeing that. I mean, you are active in all industries and all geographies. So I was kind of wondering if some more so the leading the charge more so than others?
Michael Connors: Yes. Now, good. Thanks Marc. Good question. Let me give you a couple of examples. And then I will talk specifically about the industry. So, I will give you two one CIO, very large top five insurance company globally, called and they asked us that, look, they have $225 million of application expense. Do we think that that is the right number? And if so, if not, do we think that we could take out at least 20% or $40 million plus out of that. And so we said, look, let us come in, we will do a quick assessment for you; we will benchmark it against our data. And we will see what we can do in terms of our recommendations on application kind of rationalization. That is very typical, that will be 20, 25 weeks’ worth of work. And based on our assessment, we think we will take $50 million a cost out. He in this particular example wants to take that money and move it over into digitizing a number of their processes in this particular insurance company. So that is one example. There is an another example a large bank, a large bank does a lot of training on regulatory and on compliance. We have a new service we launched last year called Training as a Service TaaS and we are taking one of the top four banks in the world, and we are basically going to operate their Training as a Service on a fixed fee multiyear contract. Why? Because of the number of people, the turnover, the cost associated with it, and we could do it more efficiently for them. So there is another flip of that. So if you look at the industries, from – which ones I would say are the hottest at the moment, health sciences, very hot. So think about healthcare and pharma, that area very hot I would say call it 20% plus growth, manufacturing back why because of efficiency and optimization. You see some of the large major automobile companies doing some reductions or doing some buyouts, why is that they are trying to get more efficient. That is up 20%. Media and the tech industry out west here, up almost 40%. Again, on a cost optimization I mentioned in my remarks. One of the top tech three companies in the world has moved higher into our GovernX compliance regulatory governance areas. The private equity channel is also very hot for us where we help them do two things on their targets, and also on their exits or our sprucing up their current portfolios, so they can prepare for an exit. It may be a year away based on the market. And finally, I would say the public sector market, the public sector globally, is in pretty strong shape. It varies sometimes by quarter because of the timing of their RFPs. But the public sector is also an area that we are seeing a lot of kind of automation digitization, our sourcing efficiencies being done now. So those would be the highlighted kind of industry segments. I think I would mention Marc.
Marc Riddick: That is really, really helpful. Thank you. And then I was wondering, as far as your comments on the sort of hiring that took place during the fourth quarter, that clearly gives an indication of the demand that you see in front of you or you expect to see, does that continue into the new year or is there a little bit of a pause after that or how should we be thinking about additional hiring applications? And then I will get back in queue. Thanks.
Michael Connors: Yes. So, we hired about 60 people in the fourth quarter. We hired about 50 in the third quarter, we did hire January, February, we now think that at the levels we are, roughly I will call it, after the January, February hiring that we did. We think, we have kind of the portfolio we currently have, well, I am sure we will do some surgical things, we are bidding on a piece of business it’s $4 million. That is going to require some incremental talent, if we win it, so those kinds of things we would add, but I think kind of the – we are the 1,600 employee level, probably 1,650 or so. But we think kind of in that range for the next few quarters is probably the right range. Unless we do when some of the large bids that, we have out there that they may change that a little bit. So we kind of – we hired I think I mentioned this before, a little unusual for us. Because we normally try to hire right at moment, but we made the decision based on talent availability in the market and what other firms were doing, we took advantage of it. We brought in talent; maybe slightly ahead where would have some – did have a little bit of productivity downside for the quarter. But we overcame all of that clearly. But that is kind of where we would see it at the moment, Marc.
Marc Riddick: Excellent. Thank you very much.
Michael Connors: Yes.
Operator: Thank you. Our next question comes from David Storms of Stonegate Securities. David, your line is open. Please go ahead.
David Storms: Thank you and good morning, appreciate you taking my call and congrats on the really strong quarter. Just wanted to start with the recurring revenue side of things, what are some of the key variables that are driving that that number higher? And how are you thinking about continuing to grow that number now that you have hit that $100 million goal?
Michael Connors: Yes. So, good question, David. So, first of all, what are the drivers behind. And just to remind you, the key components is our platform business around GovernX, around ProBenchmark, which is a pricing SaaS platform and certainly our research, which is a subscription and kind of our multi-year agreement. What is driving that, first of all, on the GovernX standpoint is all around regulatory, it’s around compliance. And it’s around governing the ecosystem, which has become much more complex kind of post-pandemic as companies have had broaden out their supplier community, the ecosystems gets bigger, it gets broader, gets a little more challenging to manage and to govern and comply and using our SaaS software plus our services that we have in Bangalore, India, one or two people on the ground at the client sites. That combination is driving the growth around that particular platform. Our ProBenchmark, which is a pricing platform, is hot because a lot of the tech providers think of Accenture, think of Capgemini, think of some of the large telecom providers. They all want to understand what the pricing capabilities are out in the market. So, if I am one of the big tech providers, and I want to go bid on a large automotive company’s piece of work, they want to understand what the pricing capabilities and flexibilities are when they are doing their pursuit. So, those were some of the things that are driving as part of our platform growth areas on recurring. On research, clearly the need to understand and be informed regarding the emerging technologies, where are the key players around cloud and cyber, workforce collaboration, the tools that are out there, it’s more complex, there is more of them, how do they rank, how do they stack, what is our perspective and views on it. We call it the ISG provider lens, IPLs are all very hot and in demand and that is driving some of that recurring revenues. So, our sense is that we have a portfolio between our research and our platform business, that we will – we think we will be able to continue our recurring revenue streams. And we will have a – we have been working through this, just as we did in 2020. Our plan is in May, when we do our first quarter report, we will give you some guidance on kind of what we see the multi-year recurring revenue will be. And we will probably set another goal for ourselves at that point in time and fill you in then David.
David Storms: That’s very helpful. Thank you. And one more if I could. You had mentioned that you have signed a number of GovernX clients, obviously, you are still bidding on new contracts across your suite. Given the current macro environment, are you seeing any requests for terms in those contracts that might be reflective of companies trying to stay nimble? I am thinking like shoring contract lines, maybe not asking for a full suite of services, anything like that?
Michael Connors: Not in our GovernX, I would say that there might be a little bit of an elongated process to get it closed. And that’s usually driven that when this environment happens, usually it takes a few more layers of approvals that maybe it didn’t happen before. So, the sales cycle can be a little bit longer, David. But I would not say that the term of our agreements would be less, but certainly, we would see and can see a little bit of a longer sales cycle. And we see approval levels, kind of requiring a little more extra layers than we maybe not have if you don’t have the macro environment at the moment.
David Storms: That’s excellent. Thank you. I will jump back in the queue.
Michael Connors: Thank you, David.
Operator: Thank you. Our next question comes from Joe Gomes of Noble Capital Markets. Joe, your line is open. Please go ahead.
Unidentified Analyst: Hey. Good morning. This is Joshua Zoepfel [ph] just filling in for Joe Gomes. And I want to congratulate you guys on the quarter as well as the year.
Michael Connors: Thanks.
Unidentified Analyst: So, I just wanted to start off with, I know your revenues kind of came in slightly higher than you guys expected last quarter. Was this just kind of like a lower OpEx headwind or was there kind of just something a little bit more to that, maybe more recurring revenues?
Michael Connors: Yes. I mean I think it’s two-fold. Number one, I think the mix of our cost optimization services are in increasing demand, number one. Our platform services are fitting into kind of the sweet spot. If you think about it from an optimization standpoint, if you are dealing with an ecosystem of suppliers, and you are a large, multinational, multibillion dollar enterprise, and your ecosystem is larger and broader, you want to have a good understanding of the capabilities and what they are delivering, are they delivering what they have said they were going to deliver, can I spruce that up or streamline that a bit, so those were the things that are kind of driving. I would say that are driving that area. That’s probably how I would answer that question.
Unidentified Analyst: Okay. Perfect. Thank you. And I didn’t – we are looking to the press release, I didn’t notice anything, just regarding the share purchases in the quarter is just kind of due to that Change 4 Growth acquisition, like kind of what are your guys’ plans for share repurchases going into this New Year?
Michael Connors: Yes, I think you have had exactly the way we thought about it. We were very focused on the acquisition during the quarter. We concluded that at the end of October. And we chose to use our cash proceeds from cash flow on that one. We also think that in this environment, holding a little bit more cash, probably serves us well. And our thinking around buyback isn’t any different. Our strategy over time is to avoid dilution from stock comp. And we don’t do that quarter-by-quarter. But that’s our long-term objective as part of our capital allocation. So, it’s exactly the way you are thinking about it.
Unidentified Analyst: Okay. Perfect. Thank you. And just lastly if I may, I know you guys kind of briefly kind of hinted at something like a creating like a large ramp like enterprise in the UK operations for Change 4 Growth last quarter. Is that something that you are still looking into maybe this year?
Michael Connors: I would say – I am sorry, you broke up just, I mean just say that one more time.
Unidentified Analyst: Okay. So, I know you guys briefly mentioned something regarding just the UK operations for the Change 4 Growth. I know you guys were wanting to create something more like a large ramp and like enterprise or something along those lines? Is that something you guys are kind of looking at going into New Year?
Michael Connors: No, not an operations per se, the Change 4 Growth business was a U.S. domestic business. We do have organizational changed management across both the U.S. and Europe. Obviously, it’s bigger in the U.S. And so we see this acquisition, as a way with more resources and more capabilities to expand further in the UK and EMEA market in general, but not necessarily setting up anything other than what we have today, which is we have resources on the ground. We just see it as a way to expand that business more globally than what we have today.
Unidentified Analyst: Okay, perfect. Yes, that clears everything up. Thank you guys so much. Congrats again.
Michael Connors: Thank you.
Operator: [Operator Instructions] Our next question is from Michael Matheson of Singular Research. Michael, your line is open. Please go ahead.
Unidentified Analyst: Congratulations on those numbers, gentlemen. Great quarter. Great year. Regarding some of the longer sales – good, regarding some of the longer sales cycle that you described yourself beginning to see, are there any particular industry verticals where you see more of that than others?
Michael Connors: No, good question. I think the answer is no. And I only commented on it based on the question that was there. I would say it’s not prevailing on the elongated sales cycle. There is a little more multiple layers of approval. So, it will take a little – it does take a little bit longer. But I don’t think there is any one industry that that is longer than the other. I just think it takes a little bit longer. But having said that, you can see through our results, none of that really stopped our demand environment and delivering what we are delivering. Now, it might change something being sold in March versus in April, or something like that. But it’s not going to stop it sale, if you will. Because right now, the suite of services that we have are right in the sweet spot of what people are looking to do. I gave a couple of examples with the insurance company and the others. So, there is a lot of – there is a lot of movement to trying to take cost out. But to take it out and move it into something that they can help try to drive growth on the top line, the digitization, the customer experience areas, analytics to help them better understand modernizing technology, as I mentioned to you earlier, the example with the applications. So, no industry specific I would say on that, Michael.
Unidentified Analyst: Okay, great. Thank you. One last question, you mentioned the new service training as a service. I just respond, it’s a great idea. I wonder if it’s something that you can leverage to other banks or potentially other industries like brokerage?
Michael Connors: Yes. Look, it’s a very good question and it’s emerging. And we think this is beyond just financial services. We are in the process of concluding and signing another large financial services firm. But I would also say we have moved this now into the health sciences area. As you know, there is a lot of kind of compliance around drugs, etcetera. And we are beginning to get traction in that area. So, we think that this is a multiple industry solution. It’s emerging, but we think this could be a fast growing segment for us over the next 2 years to 3 years. So, I think you are on the right track there. But I think it’s not only financial services, we are seeing now in health sciences, and we think there is a few others that will take us up on this as the year progresses. And I will keep everyone posted on this.
Unidentified Analyst: Good luck with that. Again, it’s a great idea. Thank you for taking my questions.
Michael Connors: Yes. Thanks Michael.
Operator: Thank you, Michael. [Operator Instructions] I see we have a follow-up from David Storms with Stonegate Securities. David, your line is open. Please go ahead.
David Storms: Hi, yes. Just one follow-up, do you guys have any thoughts on from a CapEx perspective? If there is anything unusual, we should be keeping an eye out for in 2023?
Bert Alfonso: No, David, I would say, overall, we are very lean on capital. We are very little real estate. And our capital tends to fluctuate between $2 million and $3 million was a little bit higher in ‘22. We upgraded some of our accounting and HR systems. But it’s been fairly consistent. It’s a low capital requirement business, which helps us in terms of cash flow. So, I would say nothing extraordinary. And that’s the range that we generally budget for. And it’s been very consistent over the last couple of years.
David Storms: That’s very helpful. Thank you and congrats again on a great year.
Bert Alfonso: Thank you.
Michael Connors: Thanks David.
Operator: Thank you, David. At this stage, we currently have no further questions, so I will hand back over to the management team for any closing remarks.
Michael Connors: Well, thank you and let me just close by saying thank you to all our professionals worldwide, for their dedication to our clients and for working together as a global team to achieve our record fourth quarter and full year results. Our people have a passion for delivering the best advice and support to our clients as they continue their digital journeys and I could not be prouder of them. And thanks to all of you on the call today for your continued support and confidence in our firm. Have a great rest of the day.
Operator: Ladies and gentlemen, this concludes today’s call. Thanks for joining. You may disconnect your lines.